Brian Cassin: Good morning everybody and welcome to our half year results presentation. We made a very good start to the year, the organic revenue growth in our target range and our business in very good shape. So, growth in the first half was really driven by a strong performance from our B2B business and we expect this to accelerate as we move through the second half. And we also expect further easing in the rate of the decline in the B2C business. So overall, we have positive momentum in the business going into H2. Our confidence in that momentum is really driven by new product introductions, which is a result of the investments that we've been making over the last few years. So, this morning I'm going to tell you a little bit more about those, give you an overview of H1, talk briefly about strategy and then hand over to Lloyd to take you through the financials. Let's get start with the highlights. Organic revenue growth was 4%, the total revenue growth of 5% and trends in Q2 were similar to Q1. EBITDA margins were flat at actual rates and benchmark EPS was up 6%. As I said earlier our B2B growth was strong, it was 7% organically and we expect this to edge higher for the rest of the year. We have launched several new products over the last 18 months and that's now starting to feed into a higher growth in our B2B business. IdentityWorks in North America Consumer Services has started well. We've been rolled 120,000 of our new paying members, which is a great start. Early days still, but I think what that tells you is that we are on our way to building a sizable revenue base there. And CreditMatcher in the UK is growing well and in Brazil the response to the initial free offers has really been outstanding. We've enrolled over 16 million consumers in Brazil in just a short space of time. So overall, we expect the drag from B2C in H2 to ease over coming months. So, a good performance of the business, good outlook, and of course we continue to return capital to shareholders. In May, we announced a 600,000 million share buyback. We completed about two thirds of that program and we've also raised the dividend by 4%. Turning now to the regional highlights, in North America, B2B business performing very well. First half we launched several new products which will continue to drive that growth. One example is Ascend, our new analytical sandbox and I'm going to give you some more details on that later in the presentation. All told, we estimate that about a quarter of our growth in North America credit services will come from new products, so good progress and that gives us the confidence about outlook. In addition, Fannie Mae has announced that they will add Experian trended data to their desktop underwriting system and require Experian trended data in all tri-bureau reports beginning in December. So, we expect that from January, we should start to see that feed into revenue growth in North American credit services. All our B2B businesses in North America are performing well. We're continuing to make great progress in health, in DA, in targeting, we are seeing some softness in US auto, but good momentum and great progress overall. Turning to consumer services, starting with IdentityWorks. We had a lot of questions on this in the Q1 call, but of course it was too early to give an outlook then as we just launched the product. We do have a lot more data now. And what we can say is this has been a very successful product launch and we're very pleased with progress in six months. I mentioned we've signed up in excess of 120,000 paying members to service. I think that's very impressive from a standing start. We did see a brief spike in enrollments on the back of the Equifax breach, but the pace of subscriptions has been building consistently and is trending well. It's still early days. We are evolving the product set fast. We're introducing new features roughly every 60 to 90 days and enhancing the product experience based on - really based on user engagement and the feedback that we get. We're also going to be expanding the offer with new pricing tiers and we're about to introduce what we call family plan, which is priced at 29.99 a month that protects the entire family were based on feedback that we've got something which is in high demand and I think we're particularly hopeful as we go through the second half on that. And overall the products that we put into market and the price propositions that really are the best available to consumers for identity protection by some distance. So off to a strong start in IdentityWorks and we expect to generate a meaningful revenue contribution this year and if we continue at this pace we will see this being a substantial revenue stream for us in FY '19. In credit education, the membership base decline has started to moderate. This product really is aimed at a specific segment of the market as a tool for consumers trying to improve their eligibility for credit. The products continue to evolve, we've actually added identity protection features to attract more members and build greater retention in this product set. And then LendingWorks, which is our lead generation service. This product is growing, but it remains a small revenue stream for us today. What we have done here is created an excellent eligibility matching engine and we are expanding the card and loan offers which are available on the product and they will range from subprime specialists to premium card issuers and that process continues to scale. The early success that we saw in IdentityWorks really meant that we focused our marketing efforts there first and we haven't really backed LendingWorks with significant advertising. And over the coming months we're going to be evaluating how best to scale this product in the marketplace. And moving onto Partner Solutions, this accounts for now 40% of the consumer services business. And it's a combination of our traditional affinity relationships and CSID. The business has turned the corner. We're now starting to see real progress and several new contract wins in the first half. We're introducing new products, we're diversifying the client base, CSID customers were largely non-financial services and we built on that base with new wins in verticals like legal, insurance and telco. So, we still have a lot to do, but if you put all of that together, we expect that the consumer services business in North America will be back into growth in FY '19. So, turning to Latin America, Brazil had another good half. I think is now really an impressive track record delivering quarter after quarter of really good positive organic revenue growth despite what has been a very difficult economic environment. That environment is now improving. I was in Brazil with the team a few weeks ago. You can really sense that. And the good news is that we've been investing really through the downturn to improve our operations to modernize them to introduce new products. So that when the market starts to pick up we're going to be really, really well positioned to drive very, very good performance in that region. This half we had a particularly strong performance in decision analytics and marketing services and you'll remember that these are areas where we're relatively under penetrated relative to our other markets. So, we still see very good long-term growth opportunities in both of those and we continue to strengthen the credit services business, with good growth and some significant contract wins. Consumer service in Brazil, we haven't talked about this before, but as I mentioned earlier, Serasa has now enrolled over 16 million consumers and this is now quite a huge audience for our consumer product offers include the free Serasa Score, identity monitoring, our Limpa Nome debt resolution service. This is a very significant consumer engagement build. And just to give you some context, no business of this type when we look back over the last 20 years has scaled at the pace that we're scaling in Brazil. So right now, the focus is on growing relationships with consumers. And we'll turn our attention to how we monetize those relationships really into the second half and more into FY '19. So, in summary a lot of good progress in Brazil, I'm very optimistic about the prospects going forward. In the UK, the B2B business delivered good growth and we're seeing growth opportunities across a number of areas such as mortgage, wealth, life and pensions, and we also have regulatory changes like open banking which are going to provide new opportunities in areas like data linkage and more personalized services for consumers. And we continue to make great progress in verticals like price comparison and background checking. Soft spot in consumer service is obviously - in the UK is obviously consumer services, but the rate of decline has now started to moderate. And we now have nearly 3 million free members in the UK. And CreditMatcher our price comparison service will make a meaningful revenue contribution this year. Now we know the job here is to diversify the revenue streams and reduce our dependency on the paid for subscription products that's really what CreditMatcher and all of our other product development efforts are focused on here. But that said those new revenue streams are not yet big enough to offset the decline in the credit subscriptions and that's going to take a bit more time to come. In EMEA Asia Pacific, another good story, revenue growth was double digit in the half, an outstanding performance in EMEA this time. Decision Analytics really driving the performance in both of those regions, winning a lot of new business, particularly for PowerCurve but also for analytics and for fraud. And we're also making some early stage investments to help address new markets. For example, we've created what we call innovation hub in Asia Pacific looking at opportunities in alternative data and scoring and we expect that to be a big focus for us in that region going forward. Just moving on to strategy briefly, this is a slide that we put up in May and it highlights the key focus areas for us as we go forward, and I just want to touch briefly on the progress that we're making in all these areas because it's considerable and I'll give you some examples of what we're doing. So, we said we wanted to add new data sources to build greater debt and broader coverage. And in September, we completed the acquisition of Clarity. And Clarity is the market leader in nontraditional credit reporting in the US. And what it does is it compiles information from sources such as low income lenders, fintech and rent to own companies. Now this additional substantially expands our data coverage in our largest market. We hold data on about 220 million consumers on our consumer credit database. However, there are about 50 million consumers in the US who are largely invisible to traditional lenders because they have limited or no credit history which to evaluate and score. And Clarity will greatly extend our data coverage in this segment. We're going to add it to the efforts that we've been making in other areas such as rent bureau which is where we collect data from landlords and other areas where we're partnering such as to access bank accounts which give us access to income information through direct deposits of pay checks for example. And so, the combination of all of these efforts will significantly extend the depth and the breath of our coverage from a start point of about 220 million consumers to 270 million US consumers. And it also gives us access to new sources of data to go after verticals like mortgage, which are relatively small for us today. So, we're pursuing opportunities like this really across the globe wherever we have data assets. It's a combination of organic investments, acquisitions such as Clarity and other minority investments that we've made to really build out the capability. Now we've often talked to you about our analytics and software and our lead, and this year we launched our second generation analytical sandbox called Experian Ascend. This product was built in North America and we're going to deploy the platform globally. Now what Ascend does is it allows clients to access real-time access to huge data sets to build their own custom models to test lending criteria, perform trend analysis and to forecast. So, for example, a bank might want to model how to target a prescreen campaign in a certain geography. Previously analysis like this on a specific segment of the population might take weeks to do. And Ascend really reduces that effort to the push of a button. Another example might be driver information across the US, Ascend can correlate our auto data and our credit data, it can take data from multiple sources not just Experian, but also the client source as well. And it's really easy to visualize and manipulate. So, there are massive benefits to our clients from this product. First of all, faster analysis, what used to take people weeks or months to do can now take minutes. It reduces their costs because there's more automation, it means less resources to do the analysis and it produces better decisions. The flexibility and the speed that Ascend provides allows our clients to do vast scenario of planning analysis and that leads to better more informed decisions for them. And on top of this, we've added analytical decisioning tools, artificial intelligence, data visualization and providing products which provide seamless access and utilization of the data in their production systems. The client reaction to this have been very strong. We've signed four major contracts in the first month following the release and we have a very large and growing pipeline for additional deals. The feedback has been that the access that the product provides the entire file and the depth of the data, the stark data that's in the Ascend platform really puts this as the best product which is available in the marketplace today. Accelerate the pace of technology, we've launched many major products over the last 24 months and actually I think from this stage we've sort of piece by piece told you about quite a lot of them. But just to pull some of that together, we previously mentioned CrossCore, we signed 33 new deals for CrossCore, which is our fraud prevention platform. We talked to you already in this year about Text For Credit, this is now operational. We have several key lenders with a great pipeline of opportunities across the globe. And we've also had a fantastic response to our PowerCurve Collections product which I think we told you about in May. In fact, we signed a very key client in UK just yesterday on that and we have a very strong pipeline building in every region and we have more product enhancements on the way. I think we talked to you previously about our SaaS enablement of our entire decisioning suite. That's something we expect to come in FY '19, so really great momentum across many of our business lines. None of this would really be possible without investments that we've made to transform our core technology. And what we're doing is really delivering on clients' needs for a few things, big data and analytics, real-time access, data ingestion, speed and agility and how they use their data, and of course robust data security. So, we've introduced things like reusable models where we build once and deploy everywhere. Using global development standards that allows us to scale product investments and it also gives us - we've created greater flexibility in our computing environment. So, we can operate at a faster pace, introduce products faster, integrate them with our clients faster and give them flexible open access in an API environment. In all of this information security has been our number one priority. Everything we've done over the last few years has been designed to accelerate our capabilities and really improve our security environment. So, I'd summarize that by saying that we've moved from a situation where technology was a function in the organization to where it really is now a key enabler for us going forward and gives us great confidence in our ability to continue to innovate at scale and drive our business forward. Consumers, whose data we hold are essential to our business. This is not new. You've heard me say this many times now. I think recent events have put this really into sharp focus. Directing engagement with consumers is a strategic priority for our business. And our strategy has been and continues to be to build those relationships through a range of actions both in the B2C business and in the B2B business. So, if you've heard me say through the presentation, you can see on the slide, you can see that we are generating large audiences with consumers in all of our major markets. In fact, I think if you top it up we have almost just over 30 million free consumers using products across the three major territories are very significant and that is great progress. But consumer engagement and trust is not really just about our B2C business, it's actually really critically important to our B2B business because they primarily rely on the use of consumer data to operate. Now we first talked about this a few years ago and we have executed on a strategy which bit by bit is providing better experiences and greater convenience to consumers. And so, I'm going to talk a little bit about some of those examples. So, we've invested heavily to increase the accuracy of our data and we now have the highest data accuracy in the industry. And we aim to do better than we're doing already today. It is the number one source of consumer complaints. So, we aim to eliminate that as a source of frustration for consumers. We've invested heavily in our call centers to turn them into contacts centers to make life much easier for consumers that are trying to contact us about their credit files. They can do things like click to chat and we provide a much better experience engaging with them. And we are now live with product - with online consumer dispute resolution service. This product really is fantastic. It allows you to initiate a dispute from within your credit report to track the progress and to get alerts when the dispute is resolved, so much, much better consumer experience. And of course, in the B2B business, a lot of our focus has actually been on providing developing products which ultimately provide much greater convenience to consumers such as simplifying the loan process, products like text for credit are really good example of that. So, steps like these have been in developments and some in production now for quite some time and we've made substantial investments in the products and the infrastructure to make it a reality. It is I think a distinguishing feature of our strategy and one that we think is very important for our future. So, to summarize this section before I hand it over to Lloyd, I think we're making very good progress. We're consistently delivering good organic revenue growth and I think our actions will enable us to sustain and to grow our business going forward. the B2B side of the business performing really well. New products and technology investments will enable us to sustain this. And the steps we've taken in consumer services really show good promise. We have much greater confidence in the recovery of this part of the business and in our ability to develop it further. And all of this gives us confidence as we look ahead. We can maintain and add to our growth in the years to come. So, with that I'm going to hand it over to Lloyd to take you through the financials.
Lloyd Pitchford: Thanks Brian and good morning everyone. I'll start as usual with a recap of our key financial metrics and then go onto review the results in a little more detail. As a reminder in all cases the prior year comparative has been restated for the disposal of the cross-channel marketing business, which was held for sale at the end of the year and we disposed of it during the first half. So, as you heard from Brian, we continue to grow well in the second quarter with total growth for the half of 5% to 4% organic revenue growth. Our foreign exchange was neutral to revenue growth in the half. Benchmark EBIT was up 5%, with EBIT margin flat at actual rates and a slight 10 basis points currency benefit. And benchmark EPS grew by 6%. The first half of the financial year is traditionally the weaker half for cash generation and that combined with an increase in investment led to operating cash conversion of 68%. And finally following the good progress we've made in the half, the board's recommended and approved 4% increase in the first interim dividend. So, we turn over to revenue growth for the first half, on the left, you can see our recent growth history and with organic growth in the first half of 4% within our target range. On the right hand chart, you can see the growth across our B2B activities has been consistently strong, sustaining growth at 7% in the first half and we've now achieved B2B growth of 6% or better in ten of the last eleven quarters. Looking ahead to the second half, we expect to see this trend higher as the contribution from new product innovations grow and we see further progress in our B2C business. Taking a closer look at revenue performance in the half, we see there was particularly strong growth of 7% across the North America B2B business reflecting some of the new introductions that Brain referenced and an improving decision on analytics performance this year. We've again sustained high growth in Latin America and in particular in Brazil. And we've consistently grown in Brazil at the upper end of mid-single digit range right throughout the recession and well positioned now as we see sustained improvements in economic activity. B2B growth in the UK was held back by some lumpiness in decision analytics which had a strong comparative in the prior year. And EMEA Asia Pacific continues to deliver high rates of growth particularly now as we've got a more focused portfolio following the disposal of the cross-channel marketing business. And in consumer services, both the UK and the US businesses improved from the first to the second quarter with decline in rates are moderating. And given the developments that Brian outlined, I would believe we'll see sustained sequential improvements in growth in these two businesses. And finally, acquisitions contributed 1 percentage point to growth due largely to the CSIdentity business which annualized in August taking us to the 5% total growth for the group as a whole. Turning to EBIT, starting with the rebase first half margin of 26.5%, this chart shows the contribution to group margin developments from each area of our business. You can see we delivered strong margin progress in our B2B businesses. And in North America, particularly the strength was driven from the momentum we're seeing in our marketing services business and our decision analytics business. In the UK, we saw good margin progress in credit services which more than offset the impact of the strong decision analytics comparative in the prior year. And across EMEA Asia Pacific, continued progress towards profitability. In Latin America, we continued to invest and diversify the business and the margin reflected this along with our further movements in our Brazil business to the São Carlos facility, along with some margin contraction in Spanish Latin America. So, taken together in the first half, our B2B businesses delivered EBIT progression of 12% on 7% revenue growth expanding group margins by 120 basis points. And as expected we continue to invest in the diversification of our revenue streams and consumer services where margins reflect the support we've put behind the new product launches in particular IdentityWorks. And overall consumer services margins in the half were 22.4% reducing group margin by 130 basis points. And that takes us to the overall group margin of 26.5% including a slight 10 basis points currency benefit, flat at actual rights and in line with where we guided at the start of the year. Turning now to the regional results and I'll comment on the results at constant rates. Starting with North America, where we delivered revenue growth of 6% and organic revenue growth of 4%. Against a strong prior year, credit services continued to perform well, with firm credit volumes outside of the expected mortgage headwind. Volumes of credit freeze request resulting from the Equifax breach spiked in September, but did not materially alter performance for the half. And both business information and health delivered strong contributions. And as we move through the second half, we'll see some left as we benefit from some of the new product introductions that Brian mentioned and particularly from the trended data agreement with Fannie Mae which will benefit us from Q4 onwards. Decision analytics is gaining momentum, now with great progress on pipeline and buying signals across the market for software in North America. And you will recall from last year we had some lumpiness and we had a one-off deal from Freddie Mac in the second quarter, which contributed to some lumpiness in Q2. Marketing services had an excellent half driven by our targeting business where we're making very good progress in digital advertising as we grow existing positions, add new clients and find new utility within our data for our clients. Total growth of 4% in consumer services reflected the inclusion of CSIdentity which annualized in August and organically consumer services was down 4% and improving as we progressed through the half and we ramped support behind the IdentityWorks launch. We also saw positive contributions from affinity partnerships, where we secured a good flow of contract wins. And this plus the scaling of IdentityWorks means we expect the decline in consumer services to further moderate sequentially from here. Overall EBIT was up 5% to 395 million, with a margin reflecting investment behind the new consumer products. Turning to Latin America, we had another good performance with organic revenue growth of 7% across the region and 7% in Brazil. Growth in credit services was 4%, with Brazil credit services up 5% partially offset by some weakness in Spanish Latin America. Countercyclical revenue in Brazil softened slightly as we see the economy emerge from recession. And after a number of years of double-digit growth, Spanish Latin America had a weaker Q2 as we saw some consolidation in its position. Growth in decision analytics of 35% continues on its strong trajectory as we secure new markets for decision support software across the region. The marketing services continue to grow strongly up 30%, driven by our digital marketing solutions, really driving forward that diversification strategy in Brazil that we outlined a couple of years ago. And EBIT margin for the region at 31% reflected mix, the growth investments and the weaker second quarter we had in Spanish Latin America. Moving on to the UK and Ireland, where the B2B growth of 4% was more than offset by the decline in the consumer segment, and overall revenue was 2% lower. Saw progress in credit services, where bureau volume growth has been good and reflected strength across credit reference, background, and credit pre-qual services. Underlying trends in decision analytics are also good and the 3% growth rate reflects a big win we had in last year, these numbers in identity verification. And marketing services also continued to benefit from the strong take-up of new digital marketing tools, offset by some weakness in our data quality business. It's been an important quarter for the UK consumer services business as well, as we lapped the launch of the free service in the prior year, consolidated on our new technology platform. And this combined with continued strengthen in the CreditMatcher product gives us confidence that we'll see continued sequential improvement in the rate of decline as we move through the second half. And overall EBIT margin for the UK and Ireland was flat, excluding the impact of FX, primarily reflecting the investments we're making in the transition of the consumer services business offset by good cost control and leverage in the B2B business. And after the impact of FX, UK margins were 29.6%, down 20 basis points. EMEA/Asia Pacific performed very strongly in the half, up 11%, with particularly strong second quarter. Credit services was down modestly by 1% and we've seen good recovery across a number of our European markets with growth in Spain and Italy as well as strength in Southeast Asia and India. And this was offset by weaker conditions for us in China. Decision analytics performing well, up 25%, with multiple wins for credit decisioning software particularly as well as fraud prevention and analytics. Marketing services in the regions much smaller now, post the disposal of cross-channel business, but it grew 13% organically, very strong driven by data quality and targeting. So, on EBIT level in EMEA and Asia Pacific, our increasing scale helped us moderate our losses in the first half and we're confident that this business will continue its trajectory to be profitable for the region as a whole for the full year. So, moving onto our benchmark EPS in the income statement summary and we start on the left here from the first half FY '17 restated and benchmark EPS of $0.407 per share. Growth in benchmark EBIT from ongoing activities at constant currency was 5% reflecting the good organic revenue growth we've just discussed. Interesting expense increased by 5 million to 40 million on increased borrowings and lower interest income, on lower interest rates in Brazil. And the tax rate was 26.8% reflecting the geographic mix of profits in the half. And we saw a benefit from the share repurchase program with weighted average number of shares for the half at 924 million. So, this will translate into 6% growth in our reported benchmark earnings per share. Moving to the statutory results, no exceptional items in the half and the only material movement was in non-cash re-measurements. So, if you take those into account including the amortization of acquisition intangibles and acquisition costs et cetera, you can see statutory PBT was 467 million. Turning to the cash performance for the half, we converted 68% of benchmark EBIT into operating cash. Half one is traditionally the weaker half and overall for the full year, we expect cash conversion to be around 90%. Our investments in growth and innovation increased and were more half-one weighted this year. This included the re-platforming of the UK consumer business, investing behind the expansion of the PowerCurve suite, our CrossCore fraud prevention platform and new call center technology that Brian outlined in his presentation. Working capital and other movements increased by 160 million due to phasing of payments in the half. And after net interest payments of 37 million, cash tax of 66 million, free cash flow was 289 million representing a conversion of benchmark earnings and free cash flow of 73%. Moving onto the net debt reconciliation, we ended the half with 3.4 billion of net debt, up around 250 million from the start of the financial year. After acquisitions, minority investments, share repurchases, payments of the dividend, we had net debt to EBITDA for the half of 2.2 times. So well within our target leverage range of 2 to 2.5 net to EBITDA. And since the balance sheet date, you'll see we've made a further 170 million of acquisitions and investment commitments including the acquisition of 100% of Clarity Inc. in the US that Brian talked about, a 10% stake in BankBazaar in India bringing the total acquisition commitments this year to 2020 million. So that brings it on to modeling considerations for the full year, we expect the total revenue contribution from the acquisitions to be around 60 million on a pro-forma basis, with a little under half of that in this year. We expect net interests of around 85 million towards the top end of our previous guidance, reflecting the progress with the share buyback and the acquisitions that we've announced. And we expect - continue to expect tax to be in the range of 26% to 27%, it's too soon to include any contribution or effect from the recently proposed changes to the US tax code within our guidance. We're watching those events closely and will give some more detailed guidance as we see some of the proposals firm through the legislative process. We expect CapEx for the year to be between 9% and 10% of revenue, reflecting our growth investments and some acceleration of some planned IT and information security investments. And with the two thirds of the 600 million buyback program now completed, for the full year we now expect weighted average number of shares to be 917 seventeen million, down from the 920 million that we had previously. So, to summarize, we had a good first half, consistent with the financial goals and the guidance that we issued at the start of the year. We've got strong performance and good momentum across our B2B business and making really good progress in diversifying our B2C revenue. So, if we look ahead, we expect organic revenue to strengthen as we move through the year and benefit from the things that we've discussed in particular that Q4 contribution from the trended data contract. And we continue to expect stable margins at constant currency and to deliver further progress in benchmark earnings per share. So, with that I'll hand you back to Brian.
Brian Cassin: Thank you, Lloyd. So just to close up quickly, I think as you can see we're building strong foundations for a much stronger business. We're best in class for data quality, accuracy, security and regulatory compliance. We've made substantial investments in our technology. We have a strong pipeline of innovative propositions which are coming to market. We're getting good reception from our clients. I think we have a brand which gives us permission to provide new services to consumers and they're adopting our new products. And you put all this together and I think we have an exciting future ahead of us both over the balance of this year and in the years to come. So good prospects for Experian going forward. And with that let me invite Kerry up to the stage and we'll open it up for your questions.
A - Brian Cassin: Lot of hands going up, we'll take front here, take Paul in the front please.
Paul Sullivan: It's Paul Sullivan with Barclays. Just firstly on the Equifax breach. Do you - are you having any initial conversations or are you seeing any signs of share shift benefiting you relative to them post the breach. Secondly, your sort of overall exposure to freezing, locking, unlocking and the sort of shift that seems to be happening towards free in that marketplace. How does that affect you? And what you're seeing the sort of benefit on the ID protection product today with new free products coming to the market. How do you view the long-term impact post breach on market conditions there?
Brian Cassin: So, I think just take the market share question first. The Equifax breach happened quite late in the Q2. So, we didn't see anything, any benefit really. I think the positive momentum you're seeing in our business is actually down really to the product introductions that we've got. So, we expect to do well in the second half, but it's nothing to do I think primarily with them, with other factors. It's too early to tell. And we'll just have to wait and see how market conditions evolve. Obviously, there's lots of conversations going on with clients for all, I think everybody in the marketplace and they're very positive. So, I think we'll wait and see how things evolve over coming quarters. And I think on the issue about freeze and lock, first of all, not many people have frozen their accounts. So, it's a relatively small proportion of the overall file. So, it's not a significant issue. It was a spike around the breach and it's tailed off significantly now. So, we don't expect that to be a big feature going forward. And as to the actual, the free provision of services, we don't really know what's going to happen from a regulatory perspective, but this is just one feature of the overall identity product. And actually, we provide many, many free features to consumers already. So, I don't think that we're expecting that to have any material impact. I think actually, if you look at the evidence that we can see through our own subscriptions indeed. Anybody else who's in the marketplace LifeLock in particular, what you're seeing is actually this drives a lot of consumer interest in the product category. And then they evaluate what the value for money of the proposition is. And the evidence that we have today and in fact, I think the evidence that we have from LifeLock's progression over a long period of time is actually they see great value in the proposition and we're seeing that in the enrollments that we have. We don't see anything that's going to change that short term, Paul. Market conditions change all the time, so we're constantly evaluating that, but I think we still see a good prognosis for this business going forward.
George Gregory: It's George Gregory from Exane BNP Paribas. I'll ask three please. Firstly, on Ascend, Brian, I'd be interested in your thoughts as to how it compares to the analytical environments offered by your peers which I guess have been in the market for some time. And on Clarity, I noted that one of your peers acquired a similar asset TransUnion acquired something similar I think recently. And I believe Equifax also has something similar. Are you more broadly seeing a shift in lender appetite towards using alternative data sources and should we infer anything for your core bureau businesses as a result of that. And finally, you mentioned that you were evaluating how to scale the marketing spend on your US lead generation product, perhaps you could maybe add some color. Is that as a result of the success you've seen on IdentityWorks or are you seeing something else within lead gen?
Brian Cassin: So, you've got three questions there. So, Experian Ascend and maybe I'll ask Kerry to just comment on the difference in the products. The first point I would make is, Experian Ascend is the next generation of our analytical sandbox. We've actually had the product in marketplace for a number of years. In fact, we were first to market with a product of this type. Our competitors came to market after us with Experian Sandbox. Ascend is the next step up in this product proposition. And the depth of data as well as the length, track record of 18 years of personalized consumer history in that product, it's a very extensive file access that we're giving to consumers and we believe it's by some margin the best product in the marketplace we have today. Kerry?
Kerry Williams: Yeah. That's all well said and the confirmation back from the clients is very clear in terms of the flexibility, the way that we've architected the technology, the ability for them to do their analytics on it to add different datasets into it and take that directly back into their production environments is in a very seamless manner. As Brian said in his presentation, we've already signed four of the largest customers in the US market and our pipeline is well over 20 at this point and all of those are giving us good buying signals. So, the clients are making their choices very clear with what product they want to go with.
Brian Cassin: On the Clarity acquisition, I think maybe take a step back to answer your question a bit more fully, what we've seen over a number of years is a larger proportion of the population not being able to access mainstream credit provision in the United States. So that means that the visibility of those consumers to traditional lenders has been limited and Clarity is the leading provider of information in this space. It's, I think, two to three times the size of its nearest competitor in that space. So, it is the prime asset and we believe that it will give us the most comprehensive coverage of that sector of the population going forward. I mean everybody will be trying to access this population segment. I think we believe that Clarity is the best asset in this space. Kerry, you want to add to that?
Kerry Williams: Yeah. No. I guess I'd just add a little bit of color on to the comment that you made about visibility of these consumers. In the US, you can keep the information on the file for seven years. That's a regulatory requirement. A lot of these consumers were ones that got in trouble during the financial crisis. And so, they've disappeared from the mainstream bureaus. And so, you have to go out and acquire these bureaus in a different - these consumers in a different manner, which is what we've done here, and Clarity is three to four times the size of the next nearest asset out there that we looked at. So, this one is a substantial improvement in terms of our depth and breadth of our file already.
Brian Cassin: And I think the third question was in relation to the LendingWorks product. This is just really a question of priorities. As we launch new products in the marketplace, we test the response and we see which ones are getting the best traction. In this case, it was Identity Works, so we put our efforts behind that. It's also partially driven by the fact that although we launched the product, we didn't have a full set of card and loan offers on it and that continues to build as we go through the quarters. So, I think as we look at where we are today, we now have an extensive portfolio of products on the offer. It is the best eligibility matching engine in the marketplace and I think we're going to evaluate how best we can drive traffic to that and how we can monetize that going forward. Primarily, we look to put our marketing dollars behind products which are going to give us the best ROIs. So that's where the decision is really driven. Okay. Can we get to Matija please?
Matija Gergolet: Matija Gergolet from Goldman Sachs. Two questions on my side. One on the regulation and second on margins. So, a little bit in the wake of say the Equifax data breach, there was a question already about the market share, but could you give us some color if you're hearing about any potential changes in regulation whether it is in the US as well as in other markets and if either of that concerns you, that therefore should concern us. That's the first question. And secondly, with regards to margins, we're clearly seeing that the B2B is having some very good operating leverage, right? The consumer division was the driven in this first half. Now if you have more or less stabilizing revenues in consumer in the coming quarters, while B2C should even accelerate, shouldn't we also see some improvement in the margins, at least incrementally in the coming quarters? Thank you.
Brian Cassin: Okay. Well, let's deal with the regulation question. So, we have seen a lot of activity on the regulatory front, both at the state and federal government level. A lot of different proposals, but I think that there is, you need to really sort of look through the noise about what that's really driving at and ultimately what we believe is that there may be some additional measures that come out, which are orientated towards consumer protection or in the security area. But we think that we're working closely with state and federal regulators and we think that the legislation will be, if it comes, will be something that we're well able to cope with. It's not new for us. As you all know, we've been under CFPB and now FCA regulation in the US and UK respectively for many years and we're used to having regulatory oversight. So that's not something which we think is fundamentally different.
Kerry Williams: If I can answer the part about regulation in other markets, what we've seen recently is that Australia has passed their comprehensive data, so that's going to go into effect, which was the whole basis that we created our Australian bureau on in the first place. Positive datas past one of the houses in Brazil, so that's moving forward in that market. Open data access in the UK looks to be a pretty good opportunity for us and GDPR across the European Union also presents a number of opportunities for us. So, regulation is actually creating a bit of opportunity for us in a number of markets at this point.
Lloyd Pitchford: On the margin question, no change to our full year guidance on flat margins. I think you can see in the moving parts when our B2B business is growing high single digits. It does turn off some operating leverage. The question in the B2C business then is, we'll invest where we see a good proposition to invest behind for growth and exactly when that shows up in terms of margin depends on those propositions. Identity will continue to invest behind. We've talked about the opportunities we've got in lead generation. So, I think we'll continue to see investment behind the growth that we expect to see in the B2C.business next year.
Tom Sykes: Thanks very much. Good morning. Tom Sykes from Deutsche Bank. Wondered if you could just go through the growth in non-financial services clients within the credit services businesses in the US and UK. What growth you're seeing into the telcos, utilities, public sector, how that contrasts with the financial services clients perhaps pick up on health as well? And then just coming back to your last comments on the investment in to consumer services, is the data and customer acquisition costs in H1 higher than they were in H2 last year and would we expect those to sequentially increase? Obviously, your comps are a bit easier in the second half of the year on the customer acquisition costs in consumer please.
Lloyd Pitchford: So maybe I'll take the margin question. Yes, I mean, you can see it in the margin progression for the business we would be investing behind those launches, both in data and customer acquisition costs. I think you'll expect that to continue through the second half. The question then for us as we look at the data is where is the optimum point in terms of our marketing spend, both our broadcast spend but also our digital marketing spend, and the team really fine-tuned that every day, depending on the reactions they are getting. We will then find opportunities to scale the Identity Works project, so - sorry the LendingWorks product. So, I think you got to think about the consumer business really as a story of investing behind getting that business back to growth by diversifying the revenue streams. Flat margin guidance for this year and we'll update on the guidance for next year in May.
Brian Cassin: Okay. Thank you. The question over here. Andy?
Kerry Williams: Sorry, okay, so health continues to grow well. Auto was flat in the period. New car sales are down. Used car sales continue to go modestly. We don't break out the individual elements within the core credit services business, but there was no real outliers, good growth, 7% was pretty much common across the sectors. Not materially so.
Brian Cassin: Okay. Andy?
Andy Grobler: Hi. It's Andy Grobler from Credit Suisse. Just two if I may. On cash conversion that was clearly weaker in the first hour, which looked mainly to be working capital, how much of that is just timing with the period end falling on a weekend, which I guess is the same for the full year too and how much is something else, on the other changes within the business? And then secondly on the subscription model business within consumer, when you look over three, four, five years, do you think that is a sustainable business in any kind of form, given the number of free options? Is it all about offsetting that with other opportunities and thus the expectation should be that that's going to trend towards zero over a number of years?
Lloyd Pitchford: Yes. We talked about the full year cash conversion, 90%. It was 96% in last year. About half of that will be extra investment, about half is mix. Obviously, the consumer business is a much more rapid cash business that has been declining this year. B2B business is a slightly longer cash cycle, but we're confident that it will be 90%. I think in the half, you're right, the period end fell on a weekend that has some slight cash phasing issue in the first half, but we'll be back to 90% in the full year.
Kerry Williams: On the consumer services side, I think because we focus on this every time we talk to you, maybe at quarter and half year, you kind of lose sight of the bigger picture, but actually if you take a step back over the last few years, that business has migrated from being a single product with a subscription element to really a portfolio of businesses now. So, the partner services component is 40% of the overall revenue. So that's a very significant and very significant change over last three years and we now have a really much broader range of products on that platform, ranging from free to paid for. You're right in that the subscription revenues have been the ones that have been under pressure. We do expect the credit education memberships to continue to decline, although, as I said, that has moderated. But we do see Identity as being a product that can continue to grow for quite some time because there are unique features to that product, which are not available in a free proposition anywhere else. Bear in mind that every year, these products and markets will evolve, and our objective is to build a very broad based business with lots of products ranging from free to subscription. So, I suppose if you're asking me in three years' time, do I think the subscription products will be a lower component of the overall revenues, yes, I do. But I don't think that necessarily means subscription products are never going to be there. I think they will, but I think we'll have a broader base.
Andy Grobler: The core credit subscription at the kind of traditional business and then the Identity and the value proposition of the Identity looks to be higher than the core credit stuff, given all of the alternatives. Within that mix, is Identity going to be a disproportionate part of that over the years, just really thinking about the core credit - paying for core credit data when you can get it for free.
Brian Cassin: Yeah. The core credit is not going away. You still get a huge number of people every year coming to Experian looking for these products and services. We're focused on the year-on-year change. Actually, you need to focus on the actual volume of people that still come. It's still very significant. So, it's not going away. As I said, this year Identity is going to be a meaningful revenue stream. It will be bigger again next year. They could get to equal in time over that period, maybe, I mean, it's pretty difficult to be precise three years out. I do think Identity will be, I can't really say much more, Identity is going to be a much bigger component than it is today. Credit education is not going away, but we don't expect that to grow and we do expect part solutions and also lead gen to grow. So, when you look at the portfolio, that's really how you see that business getting back into growth. Okay. We will go to the back there and we haven't had one from back yet.
Ed Steele: Ed Steele from Citi. Just one question please, it wasn't clear to me what happened at Computec in the quarter. I think you talked about Spanish, South America being soft in the quarter.
Brian Cassin: Yes. So, it was some weakness in Columbia, it wasn't really Computec and some weakness in Peru. We've seen some very strong growth in that business. It's about 10% of Latin America is outside of Brazil. It was basically at Peru that we saw some weakness, it's been growing very strongly just some pull back. Okay. We'll go to the front here and then we'll go in the middle.
Rory McKenzie: It's Rory McKenzie from UBS. Can you give some more details on the current active user base across the consumer division in the US? Is the free base of 13 million still growing about 0.5 million a month and what's the size of the subscriber base in CreditWorks and also actually what's the source of the new customers in Ideaworks. Is that new to Experian or just transferring across? And then the next question is on Brazil. You mentioned some headwinds from the decline in countercyclical products. That's clearly a good thing. So overall, when do you expect that division to accelerate in Brazil to kind of move on to the next level of growth.
Brian Cassin: Okay. Lloyd, you want to take that?
Lloyd Pitchford: Yeah. I'll take Brazil first. The underlying position in Brazil is improving. We think, as we said by the last couple of years for a business in an economy that's seen such a rapid decline in GDP, we've grown very well through that. When we get back to normalized growth rates, we think we'll see improvement from here obviously. I think the first thing you'll see is the take up of that growth will be offset by the moderation in some of the countercyclical products. That would probably be for the next six to twelve months and then you'll see the benefit of the GDP growth come through the business. That's without the benefit that we're seeing from the growing diversification and strong growth in marketing services and decision analytics. On our growth rates of subscribers, no real change from the trajectory that we've seen. We get a number of cross referrals. We've built really an ecosystem, so you see a lot of people come in to the free and then upsell to the subscriber base and that's the principal source of monetization of that free base in the US. There is some pay to pay conversion in the Identity part, but the majority of people are fresh, and we launched the dark web scan in September that over 4 million people around that dark web scan, and that's been a great way of converting people into the Identity product.
Brian Cassin: Okay. Question here, just behind.
Andrew Farnell: It's Andrew Farnell from Morgan Stanley. Can you just talk about the LendingWorks program? You talked about product holding you back. What else is it do you think is the hurdles for that business to still grow more rapidly. And can you also talk about the competitive dynamics in that particular segment as well?
Brian Cassin: What was the second attempt?
Andrew Farnell: The competitive dynamics in the LendingWorks part of the market.
Brian Cassin: Well, the first think I would say in terms of the market, the market is actually very large and growing. So, it's attractive marketplace. The issue about card offers is it just takes times, financial institution to load their full product portfolio on to the site. So, we're now getting to the point where we have a very broad range of institutions across every card category and every loan category. So, it's a fullness of product offering. So, you need two things, you need consumer traffic and you need breadth the product offering and you need product capability. Product capability is best in class, in other words, we can match people better than anybody else to the offers and when we do, the conversion rates compared to anybody else in the marketplace is extremely high. We add breadth of the product and it actually makes the platform more attractive to consumers. And then the final bit is to drive traffic with intent to that product. We drive lots of traffic to our consumer services businesses. It has different intent. So, in other words, you have somebody coming, might be looking for credit, might be looking for Identity. The choice that we face is which product do we actually put them into, what's the best return on investment. May not be necessary to actually put them through to a credit offer. It might actually be that we put that person into a free to a paid subscription product. That's actually a better term for us. So, we try to calibrate this, and it takes time to test the marketplace to see how much traffic we can drive, how it converts, what the return on that is and we constantly evaluate that and that's the equation that we work with and we'll continue to evaluate as we go forward.
Andrew Farnell: [indiscernible] top of slide 5, LendingWorks you would say is probably the largest in terms of an addressable market out of the three.
Kerry Williams: LendingWorks would be the -
Andrew Farnell: The largest addressable market.
Kerry Williams: I think LendingWorks today, the lead generation market is probably about the same size as we think of the IdentityWorks addressable market. So, we have two very large marketplaces that we're addressing. We think that in time, LendingWorks can expand into other product categories. So over time, it could become bigger again. So, I think between the two of them, you have really a lot of white space to go for.
Lloyd Pitchford: You think about it. If you look at both of those markets, they are not that dissimilar from the core bureau market and we generate very little revenue today. So, it's a great opportunity, both large, both growing with very little current revenue.
Kerry Williams: And then just to clarify, the LendingWorks revenue is actually growing very rapidly, even though, we're not putting much effort behind it, but again from a very small base. Where you've seen us do this in a more focused way is in the UK. And so, our CreditMatcher revenues in the UK are actually scaling probably be to somewhere close to 20 million run rate from a standing start in a year. So, I think that's the evidence that where we've got the right conditions and we put the effort behind it and we can very correctly, we can actually gain a meaningful start in that. So, I think that gives you a better picture.
Andrew Farnell: Okay. And then one final follow-up, the 3 million free users in the UK. How does that compare to the other free users, platforms such as Noddle and others?
Brian Cassin: So, the biggest one, it's bigger than Noddle and its slightly behind ClearScore in the UK. ClearScore I think had roughly sort of 18 months in market before us on the free proposition. We launched the free score in market about a year ago, a year ago, looking there. Is that right? About a year ago and so we've got 3 million free signups in that space of time. So as always with these markets, you've got to ask yourself some questions, can you generate sufficient consumer engagement? Yes. Can you monetize that? Yes. How do you monetize that? A variety of different ways and you've got to look at the intent of the consumer traffic to drive your choice about which product you put in front of them. It is not as simple as just saying, you got a lot of people, let's stick them into LendingWorks because there may be a better way, they may be a more valuable customer through a subscription product for example. So that is the sort of algorithm we're playing with.
Lloyd Pitchford: And those numbers are direct memberships. So obviously, we provide a lot of indirect credit score and credit report access through our financial services partner. So, you added those in, it will be clearly ahead.
Brian Cassin: I think we - do we have a question on the phone.
Operator: We do. That question is from the line of Brett Huff with Stephens Inc.
Brett Huff: Hello. This is Brett from Stephens. Two questions for me. Number one, you've talked a lot about feeling better about your ability to sort of reaccelerate the revenue growth in the consumer business, both in the UK and the US and I wondered if you could just give us the top two or three reasons why you've kind of talked about them, but I just want to make sure I get those. And then number two is, it seems that the mid single digit organic growth and kind of flat margins over the last couple of years have partially been limited by the difficulties in Brazil, which now sound like they are starting to turn around and that may help revenue growth over the medium term and that flat margins have largely been driven by or at least partially driven by the investments you've made in the consumer business, which again it sounds like you're confident that's getting better. If those two things get better, do we see a better look into the long term growth algorithm for Experian over time? Thank you.
Brian Cassin: So, Kerry, do you want to talk a bit about the components of growth on the consumer and why we have confidence there and we'll come back on, Lloyd, on the margin point and I'll round off on our outlook for organic growth.
Kerry Williams: Yeah. So, I think there are several reasons why we feel confident on the consumer growth. The first is that we, as Brian said earlier, we do have a portfolio of offerings now for the consumers. It's a much more sophisticated offering with a tremendous amount of value in each of the products compared to what the business was originally built on which was selling a credit report and a score. We have a fantastic technology platform that allows us to test and to implement things very rapidly in the marketplace. We've developed a great partner channel as Brian mentioned. We know that the consumers will need in the future and they believe that they need identity protection going forward and we know that we're best situated in the lead gen space with the relationships that we have with the financial institutions, the fact that they're willing to trust us with their scoring methodology that we have the data assets and so we're just simply well positioned to be able to capitalize on a number of these product categories in the consumer space and we've seen the results, we're seeing the results in our efforts. They're testing out well and a combination of all of that gives us quite a bit of confidence.
Brian Cassin: Just before we go to margins, Brett, you mentioned that it was Brazil that's really holding. Actually, Brazil's growth has been pretty good over the last few years and yes, I think relative to what it was before Brazil went into a crisis, it was much reduced. But actually, I think that the main kind of difference between the overall growth rate has been the consumer drag. We do expect the B2B business, as you can see, I'm not quite sure if you can see the presentation, but we've delivered as Lloyd said, 10 out of 11 quarters of very high single digit growth in B2B. So that business is really humming along and if we start to move the consumer services business in a different direction, I think, yeah, you can see the business will start to generate higher overall growth. And on the margin, Lloyd?
Lloyd Pitchford: Yeah. I think clearly when we're growing the B2B business in high single digits, you've seen in the numbers it has the potential to throw off quite a bit of operating leverage, the key question for us is the extent to which we're investing behind the growth in the consumer business. And if we see opportunities to invest economically, we will and that's why we changed the margin guidance a few years ago to guide each year. So, we look at the product, we look at the success and the residences having in the marketing, if we can invest that economically, we will. And the group's margin wins will be a sum of those two moving parts.
Kerry Williams: And Brian, if I can add to the consumer piece which we've - we haven't highlighted here. We have a fundamental belief that going forward, you will need a relationship with consumers, right, as the trusted bureau, as a trusted provider of financial products and services for them, you need to be able to reach out to the consumer and establish a relationship with them versus just doing it through third-party channels. And when you do that, that opens up more opportunities for you to engage with the consumer and to be able to help them and create additional products and services for them. So strategically, we see it as being extremely important that you establish a relationship with the consumer and that you're able to help them move forward versus abdicating that responsibility to other third-parties and letting them do it themselves.
Brian Cassin: Just on the overall growth position, obviously, our mid single digit growth is through the cycle. So, you take your view on where we are in each of the economic cycles, but if you look back over the last three years, we've clearly seen the potential to strengthen our innovation program and invest behind the B2B business that's improving and it will improve further from here. Brazil, you have to look out the next three years and think it will be better than the last three and the consumer business, we think we've got a good trajectory to get back into growth. If you take those three together, I think it underlines our positive outlook. Okay. We have some very patient hands in the middle here. So, we'll go there and then we'll come to you afterwards. Just over there.
Giasone Salati: It's Giasone Salati from Macquarie. Couple of questions please. First, on the regulation in general and the portability of data, you mentioned that as an opportunity and we have an insight on how much more that you could get directly from consumers probably for free I guess. You're offering a free service that should be for free. Is there also a point where that lowers your barrier to entry. And as a follow up to that, maybe more directly for Lloyd, at what point that becomes a cost advantage as in you probably have an idea of how much is the cost for each consumer data set and if that set of data comes in more and more for free, at what point that becomes a positive on margins rather than a negative as it's been from consumer services recently.
Brian Cassin: Let me deal with the barriers to entry question. You saw me when I put up on my slide, the acquisition of Clarity and how that adds to the depth of our data file and the important point there is depth and breadth. So, there is lots of people who have some information on consumers, building a comprehensive picture of somebody's credit profile is an incredibly complex and difficult thing to do. You need breadth of capability, you need relationship, financial institutions and data contributors. That is a very difficult thing to replicate even in an open data access environment. What will become I think available is alternative sources of data, which can add products and services on top of what we've already got. So, if we build from a very strong foundation and we look for alternative sources of data, we can build out more products and services which are more relevant to our B2B clients and to consumers and that's really what our strategy is driving out. So - and then coming on to your point on regulation, I'll give you two examples. In the UK, we're going to have open banking and we're going to have GDPR, both of which we think will give rise to significant opportunities. In open banking, it's going to drive a much more sharper focus on things like affordability and portability of data and security of that portability and we have invested behind products and services to position us very strongly for that. One of the reasons for the acquisition of the business that Lloyd mentioned Runpath, which significantly add to our capability in that area, so we feel very strongly. And then GDPR, which essentially puts the sort of regime that we, as a bureau, have been operating under for a long time around traceability, authentication of information sources and consumer consent to the corporations at large. It means there is a huge opportunity to look at the market for data validation, cleansing, hygiene, linkage and compliance, all of which play to Experian's strengths. So, I think these are really good examples where regulation comes in and certainly adds some cost to business because we have to comply with it, but it also gives us revenue opportunities on the other side. And then -
Lloyd Pitchford: Yeah. On the data sources where we're seeing most opportunity actually for new data is being additive, so it's additional data rather than replacement data and then the question on cost is, do you acquire it at scale through individual contacts or do you have a lot of contacts to acquire that data. On the other side, technology is getting easier to deal with that data and the on-boarding and processing costs are less. So those are the two competing forces that we're dealing with and that's no different for the last few years.
Giasone Salati: Just as a follow-up, this seems to be your worst quarter or your worst half, right? From here on, I think it's, let me say, happy days. But your tone seems to be more cautious than in other presentations. Can we just put a positive tone on these in saying, this is actually the trough, 4% organic is going to go higher from here?
Brian Cassin: Yeah. Well, I didn't think our tone was noticeably more defensive than any other point. I think we've been very explicit that we expect our growth to pick up from here. A question over here.
Rajesh Kumar: Rajesh Kumar from HSBC. First is on the margin guidance, when you're talking about the full year numbers and cash conversion, 90%. Should we be expecting slightly different trends at the EBITDA and EBIT margins, the investments you've made in new data all looks fantastic, does it have a different asset life profile, which we need to factor in when we are modeling that bit. Second is more of a housekeeping, could we have some color on the split of what proportion of consumer currently is Affinity, new products, traditional, just for free users and stuff like that. And finally, on the Brazil margin decline year-on-year, could you give us some color on how much of that was investment in consumer versus positive data versus Columbia Peru troubles, all of that, that would be very helpful.
Lloyd Pitchford: On cash, as we said, 96% last year, it will be 90% for this year. And if you look at just the CapEx guidance, we've given about half of that is the addition of the investment and about half is just the mix in the business. On the difference between EBIT margins for the full year, flat margins and you'll see a similar trend B2B business churning off operating leverage and investment behind, particularly the US business and the scaling of IdentityWorks. EBITDA margins bounce up and down a little bit based on the individual depreciation, lives of the assets we invested in, but typically if you think of the amortization and depreciation charges, as scaling it at a similar level to CapEx but with a one to two year time lag, it's something like that. Then on consumer in North America, 60-40 range, the split. So, we've got within the direct to consumer, we've got the decline in the credit education business, a growing Identity business and then in the partner solutions, the CSIdentity business is contributing to growth there now. And in Brazil, the Brazil margins really reflected some of the investments we've made in moving the business to [indiscernible]. We're still moving a number of people there. And some of the investments in positive data, but given the changes we have there, those have really ramped back and there's not a lot of investment that we've put behind the growth in the free members in Brazil, really active social media campaign there that's generated the traffic for majority of that. And as Brian said, benchmarks tremendously well in terms of the mindshare we've been able to get. And the other bit of the margin was the Spanish LatAm was down in the half. Did I get all of those Rajesh? Okay. Thanks.
Brian Cassin: Okay. We have a question there behind.
Simona Sarli: Hi. This is Simona Sarli from Bank of America Merrill Lynch. A couple of questions. One is regarding a full open regulation in Brazil. You mentioned that the change regarding the positive credit data has been approved by the Congress. So, when do you expect to be able to add positive credit data to your reports. And if so, what do you think that might be the impact on pricing of your products in Brazil. The second one is on the positive read across in - for data quality from the GDPR implementation, could you please maybe comment on the size of data quality and growth trajectory for data quality and also maybe speak a little bit about Pandora and how it's going?
Brian Cassin: Okay. So, Kerry, do you want to take the one on regulation when you drive yourself off.
Kerry Williams: So, I may not have said it correctly, the Senate in Brazil has approved the positive data. It is before the house for them to approve. Once they approve it, assuming that they do, then the central government will have to issue a decree to put positive data into effect. I wouldn't want to hazard a guess on when all of that will happen because the Brazilian government moves at its own pace. We already have a good bit of positive data on file and we already have a number of capabilities lined up to bring that out into the market when the customers are ready to consume it. So, it won't take us too long after the data starts coming in in a widely distributed manner, but it's - I don't want to hazard a guess on when the government will actually finish the final two pieces and make it available to us.
Lloyd Pitchford: Marketing and services business globally is about 60% targeting, about 40% data quality and within that, about half of that data quality is in the UK. And I think the Pandora product within that is growing well. We are extending that platform into a broader data management platform over the next 12 months. So, we see a lot of positive prospects. We have in the UK particularly, a more legacy business around address management. That will decline a little bit as we see some pickup in the Pandora product.
Brian Cassin: I think the other point to make about GDPR is, it comes into effect in May of 2018, but the readiness amongst companies is actually very limited. So, I think what we're now starting to see is a lot of companies beginning to realize that this is actually significant piece of legislation, they need to do something about it, but hitherto they haven't really done very much about it. So, I think it will probably start in a bit of a scramble next year. Okay. George, another question. Okay. We'll give you one more question in the front and then we'll -
Simona Sarli: Just one very quick follow-up. Brian, I noticed that you had introduced IdentityLite at a lower cost, just interested in the rationale behind introducing that and when you look at the longer term addressable market size of your ID product, how that changes that view at all? Thanks.
Brian Cassin: Kerry, do you want to take that?
Kerry Williams: So, I would think about it as simply an entry point to gain consumers and then move them up the value chain. The vast majority of our consumers that are coming into IdentityWorks today are choosing our premium product and persistency is extremely good and they're getting great value out of the product. So, I would look at that lower price point as a way to attract consumers in and to be able to move them up the value chain, not only with IdentityWorks, but other products and services that Experian has available to them over time.
Lloyd Pitchford: We're also launching a higher price point family plan. So, it's part of the range of products.